Operator: Good morning. Welcome to Skyline Champion Corporation's Fourth Quarter and Full-Year Fiscal 2019 Earnings Call. The company issued an earnings press release yesterday after close. I would like to remind everyone that yesterday's press release and statements made during this call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. Such risks and uncertainties include the factor set forth in the earnings release and in the company's filings with the Securities and Exchange Commission. Additionally, during today's call the company will discuss non-GAAP measures which they believe can be useful in evaluating their performance. A reconciliation of these measures can be found in the earnings release. I would now like to turn the call over to Keith Anderson, Skyline Champion’s Chief Executive Officer. Please go ahead.
Keith Anderson: Thank you for joining our earnings call to discuss our fourth quarter and full year results for our fiscal 2019. Joining me on today’s call is Laurie Hough, EVP & CFO and Mark Yost, EVP and President of U.S. Operations. As we announced on May 1, Mark will be succeeding me as CEO upon my retirement next month. Mark is an exceptional leader and has been instrumental in driving the success of Skyline Champion. As part of this transition, Mark has joined our board of directors and I will remain on the board as well. I’ll start off today’s call with some highlights from our results, then provide updated commentary on the market and finally discuss some of the progress with our operational and growth initiatives. As a reminder, the combination of Skyline and Champion closed on June 1, which was during the first quarter of fiscal 2019. As a result, the results for the fourth quarter include three, four months of operations for the combined company Skyline Champion while a year ago comparables include only Legacy Champion. Our full year 2019 results include ten months for the combined company while the 2018 comparables include only legacy champion. I am proud of the result Skyline Champion delivered for our fiscal year 2019. It generated strong revenue growth of 28% for total revenue of $1.4 billion. We grew adjusted EBITDA by 50% to $97 million for the year. These results demonstrate the strong momentum our company is realizing from the transaction. During the fourth quarter, we grew our revenue by 23% year-over-year. Our results were driven by core business gains and did not include any one time on/or FEMA related revenue benefits. We sold 15% more homes in the U.S. at an average selling price of $61,100. Gross profit increased by 53% year-over-year. Adjusted EBITDA for the quarter was $24.2 million an 86% increase year-over-year. Adjusted EBITDA margin in the quarter was 7.4% compared to 4.9% a year ago. Strong margin improvement was driven by better pricing discipline and operational improvement. Also we realized synergies during the quarter, driven by purchasing and operational efficiencies. Earnings in the market consistent with our previous comments, we remain positive on the outlook for manufactured housing industry as we see significant runway for continued growth. Industry volumes remain well below the long term averages and new financing options are becoming available and are slowly helping close the gap with those historic trends. During calendar year 2018, the manufactured housing industry faced tough comps as more than 1,300 homes were shipped to FEMA. When backing out those shipments, the manufactured housing industry grew 8% in 2018 versus the broader housing industry, which grew by only 3% as measured by housing starts. While there is more work needed to close the gap, 2018 represented another year where manufactured housing outpaced site-build. During the March quarter, we did experience some demand softening in certain U.S. markets such as Texas, Florida, and South Central region, which was similar to the broader housing market. Retailers in these markets also carried higher than normal inventory levels. Lastly, weather impacted our northern facilities during the quarter with tougher than normal winter conditions. While we finished fiscal 2019 with some softness we are off to a good start to fiscal 2020 with a double-digit increase in U.S. orders during the month of April. This bodes well for the remainder of the year. U.S. economic trends including household formations, income growth and alternative housing costs, continue to support a growing shortage of affordable housing, and we believe that our homes remain an attractive solution for the market. In Canada, orders were down 25% during the March quarter as we saw a softening in British Columbia market along with Alberta and Saskatchewan. We expect this trend to continue for the short term. Despite market conditions, our Canadian plants remain profitable with solid margins. We are seeing continued growth in our Modular and Park Model product lines. This past calendar year, we became the largest builder in the country for both of those product lines, which represent almost a quarter of our manufacturing production. While we are proud of those accomplishments, we remain focused on new opportunities to expand both product lines in the coming years. Overall, backlogs remains solid as demand from three of our distribution channels, independent dealers, company-owned stores and communities continues to be healthy. At the end of the fourth quarter our consolidated backlog was $143 million. This compares to a year ago backlogs of $155 million that were inflated due to the theme of production from October 2017 through February 2018. Encouragingly, backlogs for a number of our plants have now seasonally adjusted to a more normalized four to six week level. This is an optimal level where our plants have visibility for Labor staffing and bulk purchasing without taking undue inflation risk on quoting activity. On the financing front, we continue to see progress. While financing is still constrained and less competitive than standard site-built mortgage products, we are encouraged by recent developments. The GSE programs have had little impact on orders so far, but momentum from improved marketing and training programs is beginning to build. Retailers and builder developers are seeing the advantages these programs can offer to the end consumer. We anticipate a more meaningful impact during the last six months of our fiscal year 2020. On the regulatory front, HUD appears ready to loosen onsite inspection requirements for garages and carports. This will assist the industry's adoption of the new GSE financing programs in both costs and efficiency. I will now turn the call over to Mark to provide an update on some of our expansion efforts.
Mark Yost: Thank you, Keith. It's a pleasure to be joining you on today's call. Skyline Champion now operates 37 manufacturing facilities strategically located in markets that are within close proximity to our customers. We are continuing to make progress, expanding capacity to meet demand, while improving our efficiency in response to rising capacity utilization. I am pleased to report that the plant expansion on our Loyola, Pennsylvania campus was completed at the end of the first quarter and began production in April, in line with our expectations. The local team has done a great job bringing the new facility online. As a reminder, this new facility will primarily produce Park Model homes. Our new Leesville, Louisiana plant is also progressing according to plan, with an expected opening by the end of June. Leesville will incorporate new production technology for floor and wall build stations. This will help to mitigate directly the risks and will also serve as a prototype for future expansion of automation at other facilities. I will now turn the call over to Laurie to discuss our quarterly financials in more detail.
Laurie Hough: Thanks Mark. We are pleased with our performance during the quarter, as net sales increased 23% to $328 million compared to $266 million in the prior year. The net sales increase was driven by the inclusion of the legacy Skyline operations and an increase in the average home selling price. U.S. sales grew by 35% to $295 million. The number of U.S. factory built homes sold increased 15%. Average selling price per U.S. homes sold expanded 17% to $61,100. As a result of increased market demand, product mix and pricing. Canadian sales during the quarter declined by 17% to $18.7 million caused by a similar decline in the number of homes sold. Average home selling prices increased marginally to $81,600. Gross profit increased to $66 million, up 53% compared to $43 million in the prior year quarter. Our U.S. housing segment gross margins were 20.6% of segment net sales, up from 16.2% last year. Sequentially, when comparing the U.S. factory built housing segments gross margins in the fourth quarter versus our fiscal 2019 third quarter, we saw a 200 basis point increase due to synergy capture, disciplined pricing and operational improvements. SG&A in the fourth quarter increase to $53 million versus $35 million in the same period last year. The increase primarily due to the inclusion of the Skyline operations for the entire fourth quarter of fiscal 2019, and continued integration costs, higher intangible amortization and non-cash equity based compensation costs associated with the combination. In addition, variable selling costs, such as sales commissions increased as a result of our revenue growth. Also during the fourth quarter, the company granted equity awards as part of its long term incentive plan, which added $1 million of recurring equity cap. Finally, we invested more than $1 million in operating startup costs for our plant expansion. Net income for the fourth quarter was $9.2 million or $0.16 per share compared to a net loss of $2.3 million or $0.05 per share during the same period in the prior year. The increase was driven by improved operating performance and lower tax expense. On an adjusted basis, we generated $0.26 of net income per diluted share compared to $0.03 in the year ago quarter. The Company’s effective tax rate for the three months ended March 30th, 2019 was 25.9% versus an effective tax rate of 176.4% for the fiscal 2018 fourth quarter. The change in the effective tax rate was primarily due to costs related to equity based compensation for which we cannot take a tax deduction and other non-deductible items in the fiscal fourth quarter. During the fiscal fourth quarter 2018, the company established a deferred tax liability for unlimited foreign earnings and recognized tax expense related to cash repatriations. Adjusted EBITDA for the quarter was $24.2 million, an increase of 86% over the same period a year ago. The adjusted EBITDA margin expanded by 250 basis points to 7.4% largely due to higher average selling prices, operational improvements and synergy capture. As of March 30th 2019, we had $127 million of cash and cash equivalents. Cash generated from operations for fiscal year 2019 improved by $34 million versus the same period last year driven by improved profitability, adjusted for non-cash equity based compensation and improved working capital management. During the quarter, we use excess cash to pay down $5 million of our revolving credit facility. As a result, the company had $37.1 million of unused borrowing capacity under our $100 million revolving credit facility as of March 30th 2019. We have a strong cash position with added liquidity from our credit facility that provides ample flexibility to invest in our core business and our strategic initiatives. Turning to an update on the combination, we continued to make good progress with systems integration during the quarter. We consolidated payroll systems as well as merged 401-K plans and benefits packages. The ERP system conversion is nearly complete as of today's call. We remain focused on synergy capture and are on track to achieve our previously raised targeted run rate range of $12 million to $16 million by December 2019. We realized $9 million of synergies during fiscal 2019. Operational improvements included in the synergy targets continued to progress better than expected. These improvements are resulting from eliminating redundant material costs, streamlining throughput and refining product mix. Procurement rationalization synergies continue to come in as expected. In summary, we're pleased with our results in the fourth quarter and for the full year. With that, I'd like to turn the call back to Keith for some comments on the outlook and closing remarks.
Keith Anderson: Thanks, Laurie. We continue to make progress by improving both financially and operationally. The integration of Skyline and Champion is progressing well and we are capturing meaningful synergies. As we look forward, we expect our markets to remain healthy, driven by increasing demand for affordable housing, supported by improving financing and regulatory environments, yet we are closely monitoring overall economic conditions and trends in the housing market. We continue to pursue organic growth initiatives, supported by a favorable market backdrop while also evaluating potential acquisition opportunities that fit our discipline criteria. Longer term, we are well positioned to remain one of the leading providers of factory built homes and generate attractive returns for our stakeholders, while providing quality housing for our customers and their families. In closing, as this will be my last call as CEO, I would like to share some thoughts. First I would like to thank of all of our employees for their contributions to the company. It is through their hard work and dedication that Skyline Champion has become an industry leader. I also have enjoyed getting to know many of our investors and analysts, and I appreciate your interest and ongoing support for our company. It's been a pleasure to see the company through such an exciting period for the industry over the past several years and notably with the powerful combination of Skyline and Champion last June. I believe the combination has been a huge success to date and I'm even more excited about the prospects for the future. And with that operator, you may now open the lines for Q&A.
Operator: Thank you. [Operator Instructions] Our first question is from Daniel Moore with CJS Securities. Please proceed.
Daniel Moore: Good morning, Keith, Mark, Lawrie.
Keith Anderson: Morning, Dan.
Daniel Moore: Morning. Keith, thank you. Just briefly and best of luck to you and Mark obviously welcome and look forward to working with you – little bit close, more closely as we go forward. In terms of just, first, in terms of weather, maybe talk about some of the regions that were most impacted in the March quarter, conditions in those regions in terms of ability to ship in place homes and how shipments are tracking there?
Keith Anderson: Sure, Dan. I think the primary areas affected by the weather are kind of the region in the country between, let’s say Texas and North Carolina. Rainfall and wet weather conditions have delayed sets. So we've seen a buildup of retailer inventories over the past several months and those inventories have now come down through the March period. And we expect that inventory destocking to continue primarily in the Texas to Tennessee region over the next few months and be completed by the end of the first quarter.
Daniel Moore: And obviously given that inventory is expected to destock, are you know now sort of back to normal in those areas as far as the ability to ship?
Keith Anderson: It's still -- it's still delaying shipments slightly. It's starting to pick up activity in those regions but I expect that those delays to continue slightly through the through the first quarter.
Daniel Moore: Helpful. And in terms of order rates keep mentions in the U.S. fact that sort of double digit order rates in April. Texas, Florida, South Central, you called out as soft in the March quarter. Are those areas coming back as well and where are you seeing pockets of strength?
Mark Yost: Yes, I think it's we're seeing strength in customer demand across the country. I think, it's important than to separate out, HUD industry shipments from overall customer demand placements across the country from our retail channel and our community channels have been strong the entire time. Actually if you look at statistical surveys and other market indices, they actually show retail activities very strong even though shipments from wholesale have been soft. So end consumer demand is on track and very good. We just need to get through the destocking and winter period across those softer regions.
Daniel Moore: Helpful, Mark. And then in terms of Fannie and Freddie's programs, sounds like some signs of momentum building are you seeing those programs attract more lenders back to the MH space. You know any comments on kind of the latest spreads between MH and traditional site-built mortgages? And then, I think Keith mentioned H2, we might start to see some impact, is there any way to I know it's difficult but any way to quantify that?
Mark Yost: Yes, I think in the latter half of the year, we will see traction from the Fannie and Freddie programs. We've seen good traction from the MH advantage and MH choice programs that they've rolled out, and the secondary market for chattel loans that they've put in place I think will gain traction towards the latter half of the year as well.
Daniel Moore: Helpful and lastly, and I'll jump back. Canada obviously remains soft. Just your kind of the key factors there. Just remind us, what percentage of overall revenue and what your outlook is beyond the next sort of three or six months?
Keith Anderson: Sure. I think the outlook in Canada overall is that their operations will kind of remain soft for the foreseeable future here for the next quarter or two at least. As British Columbia has softened, Alberta and Saskatchewan have been soft and we’ll see those remaining soft. We’re looking to diversify some of their revenue base to pick activity up there. But it's really primarily depending on oil and agricultural and as those markets rebound in the near future we will see those markets pickup in Canada. And right now, Canada is approximately 8% of our overall sales.
Daniel Moore: Perfect. Last one, Laurie, I’m going to sneak one in here. Really strong margins in the quarter. Are these types of level and gross margin for your U.S. operations sustainable given where we are in terms of synergy capture and mix etcetera?
Laurie Hough: Yes. In the U.S., certainly sustainable. There wasn't any one-time unusual adjustments in the quarter. So we’re really happy with the U.S. margins and we think we can sustain them.
Daniel Moore: Excellent. Appreciate the color.
Keith Anderson: Thanks Dan.
Operator: Our next question is from Greg Palm with Craig-Hallum Capital Group. Please proceed.
Greg Palm: Yes. Thanks. Good morning. And Keith, I guess, I’ll just start by saying how we really enjoyed working with you in the short time here, but good luck going forward. And, Mark excited to work with you more closely going forward as well?
Keith Anderson: Thank you.
Mark Yost: Thanks Greg.
Greg Palm: Just following up on last question in terms of recent trends, I know, Keith said something in the order of April, orders been up double-digit. Was that on a pro forma basis? And was that a unit number or an overall revenue number?
Laurie Hough: That was not pro forma. It was more organic Champion only period-over-period, because as you can recall Greg, we didn't have Skyline in April and May of last year. So that’s more of a organic double-digit growth rate for April. And that was on a floor basis.
Greg Palm: That was on a floor basis.
Laurie Hough: Yes.
Greg Palm: Okay. And then just as it relate to the gross margin, because I thought that was probably most impressive in the quarter especially given the lower level of revenue, but any way you can maybe just breakout what you're seeing in terms of cost synergies that are flowing through? How much was raw material deflation? Any way to just sort of quantify, at least bucket out some of those positive impacts?
Laurie Hough: Sure. So for comparing this fourth quarter to last fourth quarter, the material deflation within the mid single-digit primarily driven by lumber; that was partially offset by higher health insurance and labor costs; and then we had obviously synergies coming into the fourth quarter as well.
Greg Palm: Okay, great. I’ll hop back in the queue. Thanks.
Laurie Hough: Thank you.
Operator: Our next question is from Matthew Bouley with Barclays. Please proceed.
Matthew Bouley: Good morning. Congrats on the results and to Keith on your retirement and welcome Mark. I want to go back to the I guess the U.S. demand side, the comments around double-digit order growth in April, but at the same time you mentioned that some destocking is still going to persist in certain regions. So, how we think about that balance? Are you basically saying that you're seeing even stronger order growth I guess outside of those particular regions? Is double-digit growth something you thinking kind of persist as we look at the balance of 2019, just kind of -- or calendar 2019? What’s your sense of kind of where industry volumes can go for the rest of this year? Thank you.
Keith Anderson: Thanks Matt. I think overall the double-digit order growth in April had a little bit of pent-up demand in it overall from the weather and destocking. Retailers were waiting to put in orders until they could get their inventories out into the field. And so as the weather cooperated a little bit in certain regions that facilitated that pickup and demand. I don't see double-digit growth necessarily overall. I see kind of mid-single digit growth year-over-year for the industry as a whole going forward, but I think it's really just a timing issue and it's encouraging to see that the orders are coming in April, because like I said, end consumer demand is still very robust and strong and I think outpacing overall site-built market kind of demand levels we’ve seen recently.
Matthew Bouley: Got it. Perfect. That’s helpful. And then just on the ASP side, up 17%. Did you quantify I guess how much that was mix versus like-for-like pricing? Did you, I guess enact any price increases during the quarter? Because obviously as you kind anniversary the acquisition later this year just be kind of helpful to understand where like-for-like price is going? Thank you.
Keith Anderson: Yes. Matt, I think overall our average selling price was largely driven especially in the quarter by mix. We’ve increased our Park Model sales and our Modular business. They are now up to approximately a quarter of our total sales in those two markets and those have a different selling price profiles than the rest of our portfolio. So, I think that was a large driver of the average change in price quarter-over-quarter.
Matthew Bouley: All right. Appreciate it. Thanks again and congrats guys.
Keith Anderson: Thank you.
Operator: Our next question is from Phil Ng with Jefferies. Please proceed.
Phil Ng: Hi, guys. Congrats on the strong quarter. Keith, it’s been a pleasure working with you. Now congrats on the new role, Mark. I guess first off from me, you’ve seen pretty nice margin expansion in the last few years. Is there a very good way to kind of think about longer-term targets on EBITDA margins or a goal internally in terms of margin expansion each year? And from a synergy and optimization standpoint it will be helpful kind of give us a little more color or sense where you kind of are in that, based on analogy from a runway, what inning are you guys at this point?
Laurie Hough: Sure, Phil. So, the synergies as we mentioned on the call where we captured about 9 million of the synergies this year, so we expect to get to our runner a range by the end of December, end of the calendar year here 2019, 12 million to 16 million. So we’re going to continue to see some margin expansion because of the additional synergies as well as some of our internal initiatives that we've been talking about over the last year or so standardizing product, just being production from facilities in near campus setting to improve throughput and so forth. So, long term we expect EBITDA margin to reach the 10% level or so.
Phil Ng: In terms of the pace, should we expect the pace you've seen last years continue or we should see some deceleration with the synergies kind of leveling off at this point?
Laurie Hough: A little bit of deceleration only because we have the startup and ramp coming in of the Louisville and Pennsylvania facilities. And then as we continue to look at growth both organically and via M&A, you're going to have some investments impacting the EBITDA margins as we go.
Phil Ng: Got you. And then, how you’re thinking about inflation this year? I mean, lumber prices obviously fell off pretty sharply and pricing has been pretty robust. So it’d be helpful kind of give us little sense in how you’re thinking about pricing this year and then the potential impact with this big pullback in lumber prices?
Laurie Hough: Yes. So we definitely benefited from that in the fourth quarter. From an inflation standpoint, we don’t expect to see the rollercoaster that we saw last year, material inflation. So, relatively small changes in inflation, but really hard to say with the impact of the tariffs as well.
Phil Ng: Got it. Is the tariff pieces is smaller piece or is it – what part of your business would be impacted by the tariff impact?
Keith Anderson: Yes. I think overall we expect the tariffs to -- depending on the product mix to impact between 1% and 3% depending on the product itself and really primarily plumbing, cabinetry, other products such as that that are inputs into our production. So, it’s a relatively small percent of our mix.
Phil Ng: Got it. Thank you.
Operator: Our next question is from Mike Dahl of RBC Capital Markets. Please proceed.
Mike Eisen: Good morning everyone. Actually, Mike Eisen on for RBC. I’ll start with my congrats to both Keith and Mark. Just wanted to follow up on some commentary around the margins and where you guys can go longer term. Can you help us think about in the quarter or maybe even in this year how much of the margin improvement came strictly from those productivity improvement initiatives? And how much runway from those specifically you see coming in the next couple of years?
Laurie Hough: So, I would say that the margin improvement was split pretty down the middle like half for synergies and half for margin improvement in the most recent quarter. So, I’m sorry, half from internal initiatives. So, and going forward obviously we’re going to see the addition of synergies leaking in over the next few quarters here and then continue with margin improvement for the next couple of years longer term.
Mike Eisen: Got it. That’s helpful. And then maybe, Mark, you spoke a lot when you met with investors up at the Pennsylvania facility. Can you talk a little bit about your involvement in some of these initiatives and where you personally think there's the most room for opportunity and where your focus is as you take on leadership of the business?
Mark Yost: Sure. Mike, I think you overall I think there’s huge opportunity in the growth side of the business both organically and through M&A. As we go forward along with on the operational side now that the integration of the companies is largely behind us, still some lingering things that we’re working through. But we’re moving on to operational improvements within the organization, lean initiatives, automation and other activities to improve the efficiencies and expand the margins of the business. Go forward to both produce more because the demand for pickup and also to enhance the margins that we do produce through internal efficiencies.
Mike Eisen: Got it. Very helpful. And then one last one if I could sneak it in. Park and Modular up to a quarter of the business, I think that’s a bigger ramp-up than we would have expected. Seems the Corona facilities should be up to five Park Models per week at this point. Could you give us any update on that and ultimately where you think Park and Modular could go as a percentage of the total production? Thanks and good luck.
Mark Yost: Thank you. Yes. So, I think the Corona facility in the Park Model production, that facility is at least five per week and increasing from there. We have just launched the new Park Model plant on the campus of our Loyola facility that started production in April and that facility is ramping very well currently. So we see the increases in Park Model sales overall throughout the country increasing very well. Modular sales are growing throughout the country as well. Our inroads in the builder developer and site-built are going very well along with the introduction of the MH Advantage and MH Choice product that supported by Fannie and Freddie, I think will help spur development with the builder developer channel as well because they’re very interested in those products and the financing that is support by the GSEs.
Operator: Our next question is from Rohit Seth with SunTrust. Please proceed.
Rohit Seth: Hi. Thanks for taking my questions. Congrats to Mark and Keith. And I guess my question is to Laurie. Last quarter you commented on the EBITDA expectations for fiscal 2020. I’m wondering if you could provide some update on that. Street expectation is about 115 to 120. Is that still reasonable expectation? And do you think an 8% EBITDA margin target is reasonable for the coming year?
Laurie Hough: Rohit, we’re not giving guidance. As of now we’d really to reevaluate when we have period-over-period comparables, so, taking a look at it maybe after the first or second quarter.
Rohit Seth: Got you. Thanks. And then, Mark, as the new CEO, do you -- where are you seeing your opportunities for cash spend? You mentioned M&A – is there any – can you provide any color on maybe is that on capacity side or you thinking about more in the distribution side?
Mark Yost: On the M&A side, I would say, we’re looking at different channels both looking at HUD expansion or manufacturing capacity expansion along with potential distribution opportunities. We do look at both in the future investing in automation can also be a good balance to take a look and do very targeted spending over time improving our facilities which will mitigate risk and enhance margins.
Rohit Seth: Okay. All right. That’s all I have for now. Thank you.
Mark Yost: Thank you.
Operator: [Operator Instructions] We have a follow-up question from Greg Palm with Craig-Hallum Capital Group. Please proceed.
Greg Palm: Thanks for sneak in and a couple of follow-ups. Mark, you just sort of mentioned something interesting as it related to kind of Fannie and Freddie programs; MH Advantage and Choice. So, I’m just curious, I mean, what’s – I’m trying to understand the most bullish scenario for these programs. And if they’re successful how big of an opportunities there is to start placing these homes and developments and sub divisions which presumably creates a pretty significant opportunity for you and others. So can you just talk a little bit about that how you see that playing out over these coming years?
Mark Yost: Yes. I think, Greg, that’s a very good question because I think that’s where the opportunity is. I think both the retail channel and the site-built developer world are both good avenues for the MH Advantage and MH Choice product. So I really think that that’s a way that we can enter into those markets. And so as you know there's a large portion of the country, and the large portion of the housing demand overall, so it's a significant opportunity which is the reason I think that those inroads by Fannie and Freddie and the support that they’ve given making us on power financially with site-built and given the affordability of our product vis-à-vis site-built allows us to compete very well and it’s a significant opportunity overall.
Greg Palm: And should we assume that you’re right now already conversations with that new channel?
Mark Yost: Yes. We’re already having conversations with that new channel and making inroads into that area along with the fact that one of the other hurdles, Greg that is out there is all the regulatory environment that we've had over time. And I think that's why it’s a double win in our view is not only do we have the financing but we've actually seen, while there’s been talk for years that there’s going to be reduced on the regulatory side of the equation. There’s actually been action recently. So HUD just recently removed the AC letter requirement, the requirement that they’ve got for on-site inspection of the carports. So what that means and the reason that’s important is just it’s a different time horizon, different costs for site builders and other people when they’re looking to do those type of additions. So, previously not only that you have the financial restrictions, you would actually go in and if you want to put carport onto a manufactured house, you had to get a AC Letter from HUD which cost money and takes time. In addition you have to have the local inspection on the carport as well. So you actually had two regulatory steps in the process which cost money and time and so now HUD has actually reduced that requirement. They’ve got another 100 requirements. They’re looking at to reduce and we’re going to talk about that in Washington in the upcoming weeks as Skyline Champion is bringing houses to the National Mall in Washington in the upcoming weeks to talk with regulators about reducing regulatory concerns and targeting affordable housing for the country, because we can solve that problem.
Greg Palm: Right. All right. Thanks for all the color.
Operator: We now have Daniel Moore with follow-up questions from CJS Securities. Please proceed. Q - Daniel Moore Thank you again. I know this is kind of non-core, but just curious your thoughts around FEMA obviously it’s been almost a year now since you’ve had any material shipments and there certainly has been plenty of activity. Any sense to where they are in terms of inventories, and when we might see some activity or orders again sometime down the line?
Keith Anderson: Dan, there’s nothing firm in place from FEMA. We’ve heard indications that they may be doing a order of their new category of homes sometime late in the year. But there's nothing hard about that order process, so nothing really to report on that front. Q - Daniel Moore Okay, Dan, appreciate the color. Thanks Mark.
Mark Yost: Thank you.
Operator: That concludes the question and answer session. I would like to turn the conference back over to management for closing remarks.
Keith Anderson: Well thank you all for your support and ongoing interest in the company, and we look forward to talking to you more in the future. Thank you.
Mark Yost: Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time and thank you for your participation.